Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Boralex, Inc.’s Third Quarter 2020 Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I'd now like to hand the conference over to your speaker today, Stéphane Milot, Director of Investor Relations. [Foreign Language]
Stéphane Milot: [Foreign Language] Thank you, operator. So good morning, everyone. Welcome to Boralex third quarter results conference call. So a special thanks for joining us on this Remembrance Day. Just I want to twilight also that we wanted to take just a minute of silence before our call. So that being said, I’d like to introduce people on the line with us. We have Patrick Lemaire, President and Chief Executive Officer; we have Patrick Decostre, Vice President and Chief Operating Officer; Bruno Guilmette, Vice President and Chief Financial Officer; and other members of our management and finance teams. So as usual, Mr. Lemaire will begin with comments about the highlights of the third quarter. Afterwards, Mr. Decostre will provide comments on the operations and the development. Mr. Guilmette will carry on with financial highlights, and then we'll all be available to answer your questions. So as you know, during this call, we will discuss historical as well as forward-looking information. When talking about the future, there are a variety of risk factors that have been listed in our different filings with securities regulators, which can materially change our estimated results. So these documents are all available for consultation at sedar.com. Our webcast presentation document, the disclosed results are presented both under IFRS and on a combined basis. So unless otherwise stated, all comments made in this presentation will refer to combined basis figures. So the press release, the MD&A, the consolidated financial statements and a copy of today's presentation are all posted on our website at boralex.com under the Investors section. So if you wish to receive a copy of these documents, please contact me. Mr. Lemaire will now start with his comments. So please go ahead, Patrick.
Patrick Lemaire: Thank you, Stéphane. Good morning, everyone. Third quarter results showed continued growth in our EBITDA and in our development, as we made good progress again in all four orientation of our strategic plan. As you all know, our sector of activity is also at a turning point as many governments around the world are indicating renewable energy will be a strong component of their economic recovery plans. Some regions like New York state are already taking concrete actions to accelerate the development of renewable energy. We are also noticing strong growth in funds dedicated to renewable energy and ESG from the investment community. We are more than happy to see all this attention to our sector and more confident than ever that the energy transition will accelerate in years to come. And this is very positive news for the execution of our plans. This environment also creates opportunities for acquisition and partnerships to realize ambitious projects. Getting back to our third quarter results, we experienced strong wind and hydro condition in Canada. This growth of our production in Canada, combined with all the optimization initiatives undertaken in the past year, enabled us to increase our combined EBITDA by 18% compared to the third quarter of 2019. We have also been able to recover the construction delays caused by COVID-19 at our wind farms under construction. As a result, our Blanches Fosses wind farm was commissioned on November 1 and we expect to commission our Cham Longe repowering project on December 1. Four secured projects, totaling 47 megawatt, advents to the ready-to-build phase during the quarter. We have been also quite active in the participation to RFPs. We bid three solar projects totaling 140 megawatt in September RFP with the New York Power Authority, and October RFP with NYSERDA for index RECs. Results are expected to be unveiled in 2021. And finally, we recently announced a well-planned transition for my replacement as I will be retiring at the end of the year. As mentioned on our recent call on the subject, I am very proud of all we have accomplished together in the past 14 years and very happy about the choice of Patrick Decostre as the new CEO. I won't go over all our achievements with regards to our strategic orientation as I already covered many of them, but you can find the details on Slide 5 of our presentation. To conclude my part, I would like to highlight the fact we have no significant impact related to COVID-19 so far. We pursued a disciplined execution of our plan. We are seeing increase – increasing development opportunities, and we have a strong financial position to capture these opportunities. Last point and the most important one, in order to continue our growth, we have a highly mobilized group of executive and employees working together with Patrick to take advantage of opportunities ahead and continue to have fun at work. I will now let Patrick cover our development and operations. I will be back later for the question period. Patrick?
Patrick Decostre: Thank you, Patrick. Good morning, everyone. I’ll go directly into the analysis of our production. As shown on Slide 8 in our presentation documents, our Canadian wind operations performed quite well, again, this quarter with production 6% higher than anticipated production and 10% higher than the same quarter last year. In France, conditions were less favorable with production 5% lower than anticipated production, but in line with the third quarter of last year. Production from the commissioning of wind farms was lower than expected due to the slight delay in commissioning of our Santerre wind farm and the wind conditions. Overall, sorry, total wind production for the quilter combining Canada and France was 1% higher than the anticipated production and 5% higher than last year. Turning to hydro now. The production of Buckingham power station was 27% higher than the anticipated production following its reopening. Comparable hydro production in Canada was 11% lower than anticipated, but 7% higher than last year. Conditions were much more difficult in the U.S., where we had production 39% lower than anticipated and 30% lower than the third quarter last year. In summary, total production for the quarter was 2% higher than anticipated production and 10% higher than last year. On a year-to-date basis, as indicated on Slide 9 of our presentation, our total production is 3% higher than the anticipated production and 5% higher than last year, reflecting very good conditions at the beginning of the year in France and in the second and third quarters in Canada. Turning to development now. As you can see on Slide 10, we added only 9 megawatt to our portfolio of projects in the third quarter after an addition of 103 megawatts in the second quarter. This is a reflection of the transition period to adapt to the development of new sites in the context of COVID-19, given measures adopted recently to counter the second wave of COVID-19 our teams are working on new ways to continue adding project to our pipeline. We will have more to share with you on this initiative in coming quarters. That being said, we're making good progress with projects already in our pipelines. Project in France and North America moved forward to meet an advance stages during the quarter. No project advanced from the portfolio of project to our growth path, but we're confident some of them could progress in the coming quarters. Turning to our growth path now, we added 11 megawatts to our production capacity with the commissioning of our Blanche Fosses wind farm in France on November 1. As mentioned by Patrick, we are expecting to commission our 35 megawatt Cham Longe wind farm on December 1. During the quarter,four project moved forward to the ready-to-build phase. Our two solar project Peyrolles and La Clé des Champs in France, totaling 21 megawatt are ready-to-build and with expected commissioning in 2021. Our wind project, Extension Plaine d'Escrebieux and Mont de Bézard 2 repowering, totaling 38 megawatts are also ready to build with commissioning expected in 2021 and 2023 respectively. I would like to take some time to talk about our CSR/ESG initiative. Over the past two quarters, we have put considerable effort in updating our corporate social responsibility plan, CSR and its positioning with respect to ESG criteria. This process is not yet completed, but that already encourage us to go further. For example, while we have always promoted the value of inclusion, countering racism and building diversity within the corporation, we’re making new commitments in these areas. In fact, we have announced that we have signed the Diversity Charter in France and that in North America we have made a commitment to countering racism against First Nations people through the group Mouvement Ensemble Inc., an initiative by business leaders in Quebec to make concrete contributions to diversity and inclusion. These examples show that we want to go beyond renewable energy. To that end we also decided to include completion of the CSR plan in our 2023 strategic objective at the same level as our financial objective. As you can see on Slide 12, we have identified 10 priority issues and grouped them into three commitment directions. So stay tuned for more in coming quarters. In conclusion for my part, I'm quite happy with the production in the third quarter and year-to-date, as well as with all the optimization initiative put in place in the past year. Our results clearly reflect strong execution by our teams. Our project are progressing well in our pipeline and growth path, and I'm very pleased to see all the good work put in place by our team to diversify our activities towards solar. Finally, I am also encouraged by all the efforts put in place by our team to elaborate a clear and well-structured CSR/ESG strategy, which will be unveiled at the beginning of 2021. This is very important for us and we strongly believe a well-balanced approach toward environment, social and governance practice is key to create long-term value. This complete my part I will now let Bruno covered the financial portion in more detail. And will be back later for the question period.
Bruno Guilmette: Thank you, Patrick. Good morning, everyone. I will start with a review of the progress made in light of our 2023 financial objectives. Starting with our last 12 months AFFO which increased by 24 million from 124 million in the second quarter to 148 million in the third quarter, the growth in the third quarter EBITDA and positive effect from all the refinancings completed in the past year ago has increased in AFFO. Please note that this number includes strong fourth quarter 2019 and first quarter of 2020 AFFO due to strong wind conditions in France. Our dividend distribution ratio now stands at 44% in line with our 40% to 60% target. Our net installed capacity stands at 2,067 megawatt and we still aim to reach 2,800 megawatt by the end of 2023. Third quarter revenues follow pretty much the same pattern as production with growth compared to last year, coming from the Canadian wind and hydro. The increase in hydro revenues is coming from the Yellow Falls power station, which was selling at market price last year before the contract was in effect and from the commissioning of the Buckingham power station, which also produced better results than expected. EBITDA on a combined basis increased from 70 million in the third quarter of last year to 83 million this year. EBITDA for the wind sector was 13 million or 16% higher than last year and hydro EBITDA increased by 3 million or 48%. Moving to cash flow now, we generated 63 million of IFRS cash flow from operations in the third quarter compared to 35 million in the same quarter last year. The FFO increased by 24 million from minus 8 million in the third quarter last year to a positive 16 million this year for the reasons mentioned before. As indicated on Slide 19, our financial position remains solid with our net debt to total market capital ratio of 41% on September 30, 2020, compared to 56% on December 31, 2019. In conclusion, all financial indicators are positive in this quarter, thanks to all our Boralex teams. Combined production and EBITDA are up 10% and 18% respectively. Last 12 months, AFFO is up 24 million at 148 million over the previous quarter. We successfully put in place an 806 million refinancing for our Niagara wind farm facility. And we closed the 201 public offering in August. We're therefore in a very solid financial position to pursue our growth inside future opportunities. Thank you for your attention. We are now ready to take your questions.
Operator: [Operator Instructions] Your first question comes from Rupert Merer from National Bank. Please go ahead. Your line is open.
Rupert Merer: Good morning, everyone. Congratulations again to both Patricks on past success and future opportunities.
Patrick Lemaire: Thank you.
Patrick Decostre: Thank you.
Rupert Merer: Maybe if we could start with development in Canada and in Quebec, give a little more color on how your developments in Canada are coming along. And I know you've talked a little about the Apuiat project in the past, but are you also looking at other projects to think historically we'd looked at an expansion at the Seigneurie de Beaupré as well. And how do you look at these? So they considered early-stage or mid-stage? How do you – how are you looking at the Canadian market?
Patrick Decostre: Yes. Indeed you have probably seen Rupert that there was some meeting about from – with our partner, the Innu First Nation with Hydro-Quebec and the minister about Apuiat, which was a positive – very positive meeting. So we're working on this project. On other project, it's too early to take conclusion from the position of the Premier in July, who said that they will restart wind in Quebec. So the project are for the moment considered in our portfolio in the mid-stage and early-stage. And we are looking to this, but we think it's a little bit too early to say that it's a concrete project for the moment for us.
Rupert Merer: So no change in the status or the outlook on the Apuiat at this point?
Patrick Decostre: No, not yet. As I mentioned, there was a very important meeting mid-October. You can probably find some information on the, at least the social network, because there was some post from the minister on this and from Hydro-Quebec too. It was positive, but it's not yet concluded, and we will come back. If it concludes positively, just remind that we have the commitment from the Premier Legault that it will be the first project when wind will restart in Quebec, but we don't know when it will be.
Rupert Merer: All right. Great.
Patrick Lemaire: If I can add, Rupert, let's say the momentum for a more renewable in Quebec is directly linked to export of Hydro-Quebec. So you've seen Hydro-Quebec a lot in New York state lately, doing conference regarding exports. So if they can – if Hydro-Quebec can conclude something on the export side over and above Massachusetts, that's when I'm going to say this is going to be the kicker for more renewable in Quebec.
Rupert Merer: All right. Very good. Okay, thank you. And secondly, Bruno, if I could ask you a question about financing. So you've done a number of big refinancing. And in France, you aggregated a number of your project finance facilities. So with that, how do you look at financing growth projects in France going forward? Will you put on individual project finance facilities as you bring new projects online? Or are they going to also be aggregated somehow?
Bruno Guilmette: Yes. We have – as part of the refinancing, we have sort of a revolving facility for certain identified projects. And as we add new projects according to certain criteria, we can roll them into the facility if they're within those types of criteria. So it really depend on the type of projects and we have continued support of our lenders in France to continue to add these types of projects.
Rupert Merer: All right. I'll leave it there. Thank you.
Bruno Guilmette: Thank you, Rupert.
Operator: Your next question comes from David Quezada from Raymond James. Please go ahead. Your line is open.
David Quezada: Thanks. Good morning, everyone. My first question here, I guess in Europe with the upcoming climate law, I'm curious if you see any potential for acceleration of projects in France, or if you could even move into other jurisdictions in Europe with some of the aggressive goals they have there?
Patrick Lemaire: I think – the first point is I think the plan of development of France was already aggressive before the recovery plan. So we – and you have to bear in mind all the time that in France you have global target and then you have the local development. We have been managing this for the last almost 18, 19 years. And so we are indeed optimistic on the development, but I'm not sure it will really accelerate local development in the future, but we have a strong pipeline and we will work on this. Looking to other countries, it's not for the moment what we are targeting, except what we're doing in Scotland to create value with this first portfolio outside France in Europe. And that's I think – we are obviously looking to things when they're coming to us, but we're not hunting actively for the moments.
David Quezada: Okay, great. That's helpful. Thank you. And maybe just one for – one more from me. I believe there's a comment in the release of 71 megawatt project in France that didn't get approved in, or didn't get selected in July, but was resubmitted for November. I'm just curious if you are changing the submission in any way in terms of pricing, or is it just seeing if there's a different bidding activity in November and substantially the same submission?
Patrick Lemaire: Both. We're doing both. So at each round, we are looking to the size of the realm. In July, it was 250, in October – in November, it was 500. The situation is different because there was some project, which were frozen in term of obtaining authorization during the lockdown. So all those things we’re taking into account, all the information that we can get. And we were probably one of the first who did not win in July, but we knew in July that there would be another round in November. So to answer your question, we have been a little bit more aggressive in term of reducing the price of the bid, but still above our threshold of return. And so we are – we have taken all the information we had from November.
David Quezada: Excellent. Thank you for that. And I'll echo the congratulations and best wishes for Patrick Lemaire’s retirement and you Patrick in your new role.
Patrick Decostre: Thank you, David.
Patrick Lemaire: Thank you.
Operator: Your next question comes from Sean Steuart from TD Securities. Please go ahead. Your line is open.
Sean Steuart: Thank you. Good morning, everyone. A couple of questions. The year-over-year EBITDA transition, there was $6 million of positive EBITDA trends in the wind segment that you attributed to a variety of other factors that included currency, repatriation of maintenance, a number of other variables. Can you give us some context on what the principle drivers of those gains were this quarter?
Bruno Guilmette: You're talking about the EBITDA on a combined basis?
Sean Steuart: Yes.
Bruno Guilmette: Let me just get back to you…
Sean Steuart: You’ll follow-up afterwards?
Bruno Guilmette: Yes, I think we'll follow-up afterwards. I need to get into the – do you have another question? I'll just get the right slide.
Sean Steuart: Yes, I do. There was a reference to ongoing efforts to secure corporate PPAs in France and Scotland. And I'm wondering if you can give us any update on developments on that front.
Patrick Decostre: Yes, I will. In France, as you know, we have secured two corporate PPAs already for project, which are exiting the EDF PPA by the end of the year. There's still one project which is coming the site of Seigneurie de Beaupré 8 megawatt project. So we are working on this and we are in advanced negotiation for this project with another interesting global cooperation. So that's good because it create the trademark of the blending of Boralex in this market. And then we have no other end of contract in short-term. So we don't have electricity available to be sold. And in Scotland is, in the – due to finance our Limekiln project, we need to have somebody buying the electricity. So we are looking to that and the working with counterpart with nothing to announce today yet.
Sean Steuart: Okay. One last question for me, and I presume this is all factored into your timeline of advancing your development projects. But France has reentered lockdown, and you referenced earlier, you're able to catch up on construction activity, there are posts with initial COVID wave. It seems the country's gone back into lockdown. Any perceived risk to the timeline of the developments in the near- to mid-term as the country tightens up again?
Patrick Decostre: Yes. Despite the figures of the health situation, the lockdown is not exactly the same than the first wave. I mean, there are still – people who are able to work from home should work from home, but some other activities are still there and we are typically in the first wave, we have to stop the construction of Cham Longe and Santerre and this is why we had a delay on Santerre. So, no, it's a little bit different. So we are working and protecting the health of the people respecting to low obviously and being a good citizen, a corporate citizen, but there are possibilities. So we're working on that. And also we are – I have to ask my team to say put you in the IV that it will last say two years because it's also a possibility of what should we do. So they are working on this. And I hope – as I mentioned, I hope we will have some more information to give you later about this, but we need to work around the situation when we….
Sean Steuart: Understood. That’s all I had.
Bruno Guilmette: And getting back to your previous question, so on a combined basis the main impacts from last year to this year are volume. So they increased volume as we mentioned. The Buckingham impact, which also talked about the new assets put in service and the other sort of five buckets. There's currency, yellow fog on pricing, which I mentioned as well, a little bit of a maintenance impact. And I mean, these would be the – and then some change on the – on expensive that are different from last year and that would be the main impact.
Sean Steuart: Okay. Yes. I was referring specifically to the wind segment. Maybe I'll follow-up after the call, Stéphane. Thanks very much, everyone.
Stéphane Milot: Yes, let’s do that after the call. Thanks.
Bruno Guilmette: Thank you.
Operator: Your next question comes from Dennis Brown from BMO. Please go ahead. Your line is open.
Dennis Brown: Okay. Thanks. Good morning. I wanted to ask on your ESG strategy that you're planning to announce early next year. Is it you thinking that you will be able to provide long-term goals on ESG? Or is it just more an update on catching up on the historical data points on ESG?
Patrick Decostre: Thank you. We will do both, but we have – we will definitely disclose more information because we think we are not fairly measured today because we're not disclosing, it's our question, we're not disclosing to you and the market all the things we are already doing. And for long-term objective, we have – this is typically things we have still to decide during November and December, but we will, and we will disclose some objectives that we think are the more – the prior – which will be the priorities of Boralex for the next three years.
Dennis Brown: Okay. So you're really quite catching up then on that. Okay. That's good to hear. And then on the U.S. solar acquisition that you filed for. If you get approval in December, is that when you’ll update us on more details? Or is there any other sort of requirements you need to get confidence in getting that deal done?
Patrick Lemaire: Just to clarify this point, we have active discussion with on the possible acquisition. I'm seeing a possible acquisition. That's why nothing is disclosed yet. So, when – if the conclusion of the discussion that we have comes out positive, we'll inform you like we usually did in the past. So this is a process, our only discussion up to this point, but it's more active than usual. That's it.
Dennis Brown: Okay. And I thought I saw some sort of sale agreement, is that just not signed yet? Or is it you're just saying there's more details in that you need to flesh out?
Patrick Lemaire: I think if I may on this one, I think we'll leave it there. Like Patrick mentioned, we will comment when we'll get there.
Dennis Brown: Okay. All right at this point. Thank you.
Operator: Your next question comes from Mark Jarvi from CIBC. Please go ahead. Your line is open.
Mark Jarvi: Yes. Good morning gentlemen. In the last RFP in France, it seemed like there was a higher proportion of solar projects that were successful and the average price came down. I'm curious, does that shift your positioning expectations for securing more wind or maybe trying to pull forward your solar development efforts in France?
Patrick Decostre: Just one point, the tenders are either for wind or solar, so it's not – they are, they're not mixed, indeed in wind what we see is we can achieve a better return from our experience over the last different rounds. And there was probably also a reason why the price of wind has gone down in July and we'll probably go down also in November, because if you remember, there was six rounds of 500 megawatt and the last one was November. So next year there would be two rounds of 925 megawatts or higher demand, but we don't know exactly I'm speaking about wind, we don't know exactly yet what will be the entry rules, the bidding rules. So this is reason for some competitors to be more aggressive in term of reducing the price in the wind. But I think my view and our view is that solar, like I think in every market is a little bit lower than wind in terms of return, but there are some regions for that because the risk is different. So we are continuing to focus on wind and solar.
Mark Jarvi: Just given the continued decline in solar and the proportion that went to solar in the last round, just curious do you think that shift continues more where procurement starts meaning more and more towards a solar over wind, or do you think there's holdup for wind is a steady as you would have thought a couple of years ago?
Patrick Decostre: Yes, typically, our solar – we are producing on more on solar in New York state, because we think it's the best sector technology to be there. And in France, as you mentioned, we have a long experience in wind. And as I mentioned, the return are better in solar. So we think better to – I'm not saying we are not doing solar in France, we are doing, we have some in the pipeline, but we are more definitively focusing on the wind because it's a better return for us. But solar is very important as a corporation because it's very complimentary to wind, if you compare the revenues, you compare the annual availability, if you compare the cost it's very interesting to be – to have an exposure in both, not only in wind and our technology.
Mark Jarvi: Right. And then there are some reports about some retroactive feeding tariff cuts in France, from my understanding it's only applies to solar, but can you just confirm if there's any implications to any of your assets, if they did fall through with that?
Patrick Decostre: Yes, it's very specific to a certain period of solar feeding tariff in France. So it's not material to Boralex, because we have only one 5 megawatt, VC asset which could be affected but it's very clear that it's doesn't apply to any wind, this has been said by the Ministry, this has been raised to by the minister, Apuiat, Dennis, we think it's – the risk is very limited on that or no, in this for the wind part.
Mark Jarvi: Okay. And then my last question is just on the increased efforts around the ESG disclosures. Do you get a sense that with improved disclosures that it increases your ability to look at your green financing or some ability to shape basis points? Is there an added financial benefit of adding improved disclosures?
Bruno Guilmette: I think it's, the first point is to disclose reality of Boralex and our experience, the way we're doing our business thing, I am personally with the company since 19 years as you know, and I think, since even before I was there ESG was not abandoned, but was already in the DNA of the company. So that's the first point. I think it will attract some investors which need to have information, so that's also important for us to give them this information. And on top of this, we have access to new financing. I'm sure we know, we'll take the opportunity with this team to go for this financing.
Mark Jarvi: Okay. Great. And then Patrick Lemaire again congratulations on retirement.
Patrick Lemaire: Thank you.
Patrick Decostre: Thank you.
Operator: [Operator Instructions] Your next question comes from Nelson Ng from RBC Capital Markets. Please go ahead. Your line is open.
Nelson Ng: Great, thanks. And good morning everyone. So just a big picture question, what are your thoughts on taking a bit more merchant exposure? I guess we've seen some other developers working on merchant projects in Texas or Mexico, or even Alberta, just wondering, if your thoughts have changed in terms of either taking some direct merchant exposure or to develop a project with a view to hedge or get corporate off-takers for part of the generation?
Patrick Decostre: The first point is, it's clearly not our focus on Boralex to have merchant exposure. We are working in market where it's possible to still sign long-term contract and even, we mentioned it, I think, the fact that the New York state, the fixed rate contract will be converted into index rate contract, it is even better because it reduce the risk and we will the full contract for 20 years, which is less risk. So typically we are concentrating our efforts on this. And as I mentioned in Scotland, we have there a fully permitted project, which is a significant 119 megawatt and we are working to create value with it. But we are not, we will not decide to go merchant on this project, even if it's – you can say, okay, it's just 9% of Boralex portfolio, but we are not going this way. It's not the strategy, we have approved for us. Bruno, if you have any comments on this you can go so.
Bruno Guilmette: Like you mentioned Patrick, it's the core of our strategy, getting long-term contracts from financing perspective, it's certainly, what – which we do quite well. And we'll continue prioritizing that.
Nelson Ng: Okay. And then just a follow-up, given that you're pretty active in France and New York, are there other markets that offer long-term contracts, that you are currently not involved in that, that interests you?
Patrick Decostre: I would say today into terms of greenfield development, we are concentrating on our effort on this. We are also looking for opportunities in another market, if there is long-term contract we can access to long-term contracts, so we will continue this. And we will – if we are successful in somewhere, we will tell you where we are successful and where we will we continue to go for long-term contract.
Nelson Ng: Okay. That's great. I'll leave it there.
Bruno Guilmette: Demonstrated, we've talked about the potential of the markets we already are involved in, so there's quite a bit of room to grow there.
Nelson Ng: Okay. Thanks a lot.
Patrick Decostre: Thank you, Nelson.
Operator: Thinking that's on your next question comes from Naji Baydoun with Industrial Alliance Securities. Please ahead. Your line is open.
Naji Baydoun: Hi, good morning. Just maybe going back to the question on the retroactive contract cuts in France. I know it doesn't apply to your assets or the wind portfolio specifically, but does it change your view on sort of the risks in that market? And maybe the flip side of it, do you think there will be an opportunity to maybe pick up some distressed assets, if those cuts go through?
Patrick Decostre: Yes. There are two questions. The first point is it doesn't change our view. Typically, it's easy today to make post-rationalization, but I can tell you that, 10, 12 years ago, Patrick Lemaire and myself, we discussed about developing rooftop integrated solar at 600 Joule or megawatt hour and we decided not to go this market because the difference of price between the electricity prices and the subsidized price was too high. And that we are electricity producers and not subsidies, I don't know what to say, get to somebody who is just looking for subsidies. And today we are happy with that. We're not exposed, we're exposed with a 330 Joule or megawatt hour, four, 5 megawatts as I mentioned, so it's not material some competitors are, it could create some difficulties to some, but then obviously we will look to this, there was – to go back into the past in 2012, there was a lot of discussion about the European commission notification on the wind, we took the opportunity to make some acquisition at that time. So we will look to if there are some people who were in their stress for sure.
Naji Baydoun: Okay. And that's good. It's helpful. Can you just comment maybe on the recent partnership with the SolarTerra in France, what are some of the, maybe details behind that partnership?
Patrick Decostre: With which you mentioned,
Naji Baydoun: SollarTerra.
Stéphane Milot: No, what you're referring to Naji?
Naji Baydoun: Sorry, I didn't catch that.
Stéphane Milot: What are you referring to?
Naji Baydoun: Just, there was a social media post about partnering with SolarTerra to co-develop some solar projects in France, so just wondering if you can give more details on that.
Patrick Decostre: Yes, I know, but it's, we have some co-development in wind and some solar, I was not aware of this social media disclosure. And so I'm a little bit uncomfortable to answer your question. And Stéphane will come back to you Naji on this because, it's not clear to me what it covers.
Naji Baydoun: Okay. No problem. That's fine and just a final question for Bruno. The payout ratio and I know you're still targeting 40% to 60%, if would you be okay if temporarily the payout ratio was sort of below that target range, if the right growth opportunities were to present themselves for you?
Bruno Guilmette: Well, I mean that we're comfortable with that target Naji and we'll see how things evolve in the next few months. And, if we continue to see strong conditions, we are seeing quite a bit of opportunities and I mean, the ratio was set out to allow us to reinvest money in the company and the growth, which we believe our shareholders appreciate. Dipping below the ratio on a temporary basis, yes over the medium-term we'd like to stay within the ratio. So you can now draw your own conclusions.
Naji Baydoun: Okay. That's helpful. Thank you.
Bruno Guilmette: Thank you.
Operator: We have no further questions in queue. I'd like to turn the call back over to the presenters for any closing remarks.
Stéphane Milot: Sorry, I was just going to introduce you, Patrick. Just wanted to say this is Patrick’s last call. So, I'll, let turn the mic and for the end of this call, please go ahead, Patrick.
Patrick Lemaire: You can do the end after that, but I just wanted to note, just like Stéphane mentioned that this is my last call. So I wanted to thank you all for your contribution to Boralex success, because by doing your reports to the investors community, and also organizing meetings with investors, I think you contributed to the Boralex success over the last 14 years. And, I just wanted to say a big thank and I'm sure your contribution will be greatly appreciated in the future. So again, thank you. And to you Stéphane.
Stéphane Milot: Yes. Thank you. Congratulations on this new – not a challenge, but this new life for you, Patrick and again we all embrace you and thank you from us for sure, Patrick. Thank you for this.
Patrick Decostre: Thank you, Patrick. Well done.
Stéphane Milot: Okay, good job. And, so everyone, I will thank you for your attention. And if you have questions you call me. And I just wanted to say that our next call will be February 25 for year-end and fourth quarter results. So see you there. Remain healthy, have a great day. Thanks a lot.
Patrick Decostre: Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.